Operator: Welcome to the Brookfield Infrastructure Partners 2015 Third Quarter Conference Call and Webcast. As a reminder, all participants are in a listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] At this time, I'd like to turn the conference over to Tracey Wise, Senior Vice President, Investor Relations. Please go ahead.
Tracey Wise: Thank you, Operator, and good morning. Thank you all for joining us for Brookfield Infrastructure Partners' third quarter 2015 earnings conference call. On the call today is Bahir Manios, our Chief Financial Officer, and Sam Pollock, our Chief Executive Officer. Following their remarks, we look forward to taking your questions and comments. At this time, I would like to remind you that in responding to questions and in talking about our growth initiatives, and our financial and operating performance, we may make forward-looking statements. These statements are subject to known and unknown risks, and future results may differ materially. For further information on known risk factors, I would encourage you to review our annual report on Form 20-F, which is available on our website. With that, I would like to turn the call over to Bahir.
Bahir Manios: Thank you, Tracey, and good morning, everyone. The third quarter was an excellent period for our business. We continued to push along with various investment initiatives that we have on the go, posted the second straight quarter of record results and continued to bolster our liquidity position. First off on our financial results continued to be very strong enhanced by the diversification of our business and the regulated and contractual nature of our cash flows. The majority of our operating segments posted results that were ahead of expectations and most importantly our outlook remains very positive for the balance of the year and beyond. We generated FFO $210 million in the period or $0.91 on a per unit basis which is up from $178 million or $0.85 per unit in the same period of 2014. Results benefited from the contribution of our newly acquired communication infrastructure assets in addition to solid organic growth across the business. This was offset by the impact of foreign exchange which reduced our results by $23 million in the quarter. On a same-store constant currency basis, we generated 13% increase in FFO compared to the prior year, a real testament to the strong franchises that we own. I’ll now touch on our financial results and operating performance for our various segments. Our utility segment generated FFO of $99 million in the quarter which is $6 million higher than the prior year. These results were driven by record connection activity at our U.K. regulated distribution operations, incremental earnings on growth capital commissioning into our rate base and inflation indexation across the number of our businesses. Our transport segment generated FFO of $103 million which was roughly in line with results in the comparable period in 2014. Our results benefited from tariff growth across the majority of our operations, higher volumes that are rail logistics business in Brazil and cost savings at our Australian rail operations. These positive results were affected by a strong U.S. dollar which reduced results in this segment by $20 million. From an operations perspective, our three platforms within the transport segment all had good quarters. First off in our rail platform, we continue to be pleased with the performance of our Brazilian rail logistics business that we acquired in the third quarter of last year. On a local currency basis, the business has achieved year-on-year EBITDA growth of 20%, driven by increased agricultural volumes and improved margins. Our Australian rail operations also performed well during the quarter. Continuing to benefit from steady volumes across most of its major business lines including alumina, iron ore, grain and interstate freight. This led to an increase in same store revenues of approximately 5% and an EBITDA increase of over 10%, on a constant currency basis. Second, our toll road platform has continued to perform well operationally, with EBITDA increasing by 7% in local currency terms. We benefitted from inflationary increases in addition to strong light vehicle volumes, which more than offset lower heavy vehicle volumes in our Brazilian operations. And last in our ports platform, we achieved volume increases across most of our major business lines during the quarter. Our West coast terminal experienced a 25% increase in volumes, and an 11% reduction in costs per – on a year-over-year basis, as a result of the completion of the first phase of the automation project. We are also continuing to see stronger container volumes in our U.K. operation, which were up 7% year-to-date compared to the prior year. Partially offsetting the growth in our container terminal activities was the loss of a bulk commodity customer at our U.K. port operation during the quarter. This customer contributed less than 1% of our overall EBITDA and our management team is working hard to progress several new bulk opportunities that we expect will replace these foregone volumes in the near future. Our Energy segment generated FFO of $19 million this period, compared to $10 million in the prior year. Results were higher due to increased volumes at our North American gas transmission operations and the addition of newly acquired district energy businesses. Our French telecom infrastructure business, acquired in March of this year, delivered FFO of $20 million in the quarter. This is consistent with the prior quarter and is slightly ahead of underwriting. We also successfully refinanced €600 million of the €1.4 billion acquisition facility that was raised to acquire this business. This debt, which was issued in the European bond market, has a seven year term and priced at an all-in rate of 2.9%, which was in-line with our underwriting assumptions. We continue to monitor the debt markets in Europe closely as we plan to refinance the remaining €800 million which remains in this facility in 2016. Now I will take some time to quickly provide you with an update on our various growth initiatives. First off in our utility segment, we continue to drive near term growth through the pursuit of organic growth. During the quarter we increased our capital backlog by 6%. This increase was the result of the expansion and upgrade projects awarded in our Chilean transmission business, and the growing backlog of connections at our U.K. regulated distribution operation. Our total backlog for this segment stands at over $540 million which we expect to commission into our rate base in the next two to three years. In our transport segment, we expect to see continued EBITDA growth in our Brazilian rail business as our investments in network upgrades come online over the next several years. These include a major expansion project at the TIPLAM port in Santos, which is now 60% complete, as well as upgrades to our various inland terminals and rolling stock. These projects will support significantly higher volumes through the system in future years. In our energy segment, our North American gas transmission business continued to advance its growth projects. Most significantly, it announced a 20-year agreement to provide southbound natural gas to a major LNG project on the Gulf Coast. This contract will underpin the first phase of a reversal project on the company’s Gulf Coast line, which will deliver gas from its Rocky Mountain Express interconnection. In the district energy business we signed agreements to add four new commercial clients, connected 355 residential customers to our systems and renewed two contracts at favorable rates. We expect our run rate EBITDA for this platform to grow by over 25% by the end of 2016 as we bring online many of the different initiatives that we have announced to-date. And finally before I turn the call over to Sam, I want to touch quickly on our liquidity position which has never been stronger. Our ability to access significant amounts of capital earlier in the year enabled us to move quickly to secure several exciting investment opportunities. In August, we presented a funding plan for the various transactions that we had announced and subsequent to period end, we executed on the final component of this plan by completing a CAD$500 million corporate bond issuance which brought their total liquidity to approximately $3.3 billion. While this high liquidity position currently acts as a partial drag on our results, once these funds are deployed into our various initiatives, we will generate meaningful growth in our FFO per unit. In that regard, our FFO per unit on a constant unit basis grew by 18% year-over-year. And so with that I'll now turn the call over to Sam.
Sam Pollock: Great, thanks Bahir. Good morning everyone. Today I will be making a few comments regarding our business strategy and providing an update on some of our major initiatives. Our objective for Brookfield Infrastructure is to build a world class infrastructure business that is diversified by sector and geography, and consists of high quality assets with significant barriers to entry and strong organic growth potential. We believe that with these types of assets we can deliver stable and growing distributions for our unitholders. To date we have been successful in achieving these goals by sticking to our disciplined investing philosophy. When we first spun off Brookfield Infrastructure in 2008, we had two operating segments, consisting of a total of five businesses in North and South America. Over the past seven years, we have evolved significantly, where we currently have four large segments, comprised of 30 businesses across five continents. Our market capitalization has increased from $500 million to close to $10 billion. And while growing the overall business has been a great accomplishment, our ability to increase value on a per unit basis during this period of growth is the greater achievement. Since 2009, our FFO and distributions per unit has increased on an average annual basis by 23% and 12%, respectively. Going forward, we intend to follow the exact same roadmap that has proved to be successful which is to build out our existing operating platforms and acquire new businesses on a value basis. In regards to building on our platforms, we are currently focused on four key areas. First, we tend to leverage our customer relationships and industry-leading technology, we seek to globalize our port business. Second, we are looking to add to our toll road footprint, not only in South America where we already have a strong presence, but also in India and Europe. Third, we will continue to execute on our district energy roll-up plan. We made seven acquisitions in this space over the last year and we have plans for further consolidation of this highly fragmented sector in North America, Europe and Australia. Finally, we see opportunities to build out our transmission platform in the U.S. and South America where we can participate as a developer of transmission systems. We believe there are also unique value opportunities in today’s market environment. For instance, we believe there is a once in a lifetime opportunity to invest in Brazil, and this is a country where we are seen as a local player and has many competitive advantages. Another area of interest is energy infrastructure. With the rerating of many MLPs following a 32% drop in the index year-over-year, there are a number of good companies that have been dragged down with the tide. In addition, certain E&P companies may have to delever their balance sheets in this new commodity environment by selling midstream assets to focus on their core business. Lastly, there are high quality assets available from a number of utility, construction and mining companies looking to dispose of their non-core assets to reduce debt. Along these lines, we currently have a number of strategic initiatives underway. I won’t touch on all of them but I will provide an update on three. First in August, we announced a binding agreement, together with our institutional partners, to acquire Asciano Limited, a high quality rail and port logistics Company in Australia with an enterprise value of approximately AUS$12 billion. The transaction received the unanimous support of the Asciano Board of Directors and we are in the process of seeking approvals from Asciano shareholders and Australian regulators. As is commonplace in public-to-private transactions, we are facing a number of hurdles which may impact our timelines. I appreciate that many on the call might have questions regarding our response to some of these hurdles. However, unfortunately I'm not in position to comment further at this time, nor I speculate about the actions or motivations of competitors or regulators. I will say that we remain committed to the transaction at this time. Also in August, we agreed to invest approximately $90 million into a portfolio of six roads located in India which we acquired in Gammon Infrastructure. While Brookfield has had an operating presence in India for several years, this transaction marks Brookfield Infrastructure’s first foray into the country and provides us with an exciting opportunity to further expand our toll road platform globally. Our first investment in India is intentionally modest in size relative to other transactions we are pursuing. But importantly, once this transaction closes, we will be an approved owner and operator of infrastructure assets within the country. This transaction also enables us to expand our toll road platform to a new market that we believe has significant growth prospects. We expect to complete this investment by the end of 2015. The last initiative I want to touch on is Invepar. While progress has been slow due to the bankruptcy process that OAS, its major shareholder is undertaking, we have made headway in moving the transaction forward. Our proposed DIP loan to OAS has received court approval and is awaiting ratification in upcoming OAS creditors meeting this month. Once the DIP loan is approved and funded, we expect OAS and the court to launch a sales process in which we'll be well positioned to acquire OAS equity interest in Invepar. While our loan is outstanding, we will earn a minimum return of 15% in U.S. dollars. In the meantime, we are also very engaged with the other shareholders of Invepar. We've agreed to participate, provide alongside these shareholders BRL$2 billion corporate shareholder loan to Invepar that's currently being arranged. I will conclude my remarks with a brief outlook for our business and a summary of our priorities. We continue to believe that the long term outlook for the global economy is positive but we are positioning ourselves to withstand any periods of volatility. While fears surrounding the sovereign debt crisis in Greece appear to have subsided, uncertainty related to the massive influx of refugees into Europe and a slowdown in China’s economic growth, now dominate the headlines. All these factors has contributed significant volatility in the capital and commodity markets. In an environment where there is a flight to quality by investors, we believe that Brookfield Infrastructure is able to distinguish itself. We have a strong balance sheet, operations that are well diversified and cash flow streams that are predominantly regulated and contractual. Our diversification strategy also helps us in deploying capital, as it expands our investable universe and allows us to invest in a number of markets where we see good value and where we can get the best risk-adjusted returns. That being said, our defensive characteristics are only one of the attractions to our business. We think that the significant recurring growth generated by our operating platforms provides a total return that is very attractive to investors on a long-term basis. For the balance of the year, our primary focus is to complete the various strategic initiatives that we just announced and I just covered with you. These acquisitions will significantly expand the scale of our transport and energy segments and will meaningfully add to our overall cash flows in the first half of 2016 and beyond. With that operator, that concludes my remarks. We’ll be pleased to open the lines for questions.
Operator: [Operator Instructions] Our first question today comes from Robert Kwan of RBC Capital Markets. Please go ahead.
Robert Kwan: Good morning. Just starting on [DOY] [ph] very strong year-over-year growth. I am just wondering how is that investment tracking versus the minimum return right now?
Sam Pollock: Hi Robert its Sam, I will take that question and to Bahir might expand on little bit. As you know Robert we have a minimum return in that track of 15% and our belief is that in relation to the business plan that we set out, the business is actually on a local currency basis operating ahead of that. The only thing that is negative obviously in the short run we have some FX headwinds but the business actual underlying business itself is exceeding our expectations.
Robert Kwan: Okay. And is the minimum denominated in U.S. dollars or is in Reis?
Sam Pollock: It's in Reis.
Robert Kwan: Okay. So effectively we’ll just see growth according to kind of how the business unfolds from a capital you are putting i.e. it's not like your behind and therefore there is almost just a built in growth profile?
Sam Pollock: Yes, all the capital is being funded internally by the company through [indiscernible] and cash flow from operations.
Robert Kwan: Okay. And is there anything kind of relatively near term to consolidate your ownership position?
Sam Pollock: There is nothing in the near term debt change.
Robert Kwan: Okay. Let me just ask a last question here, just on the MLP opportunity that you put forward. It seems like when we look at the pipeline in energy space, we are winners are doing exactly what you guys are doing elsewhere and your infrastructure being plowing money into the existing footprint that’s driving a lot of better returns over just straight acquisitions. And I guess historically you typically haven’t talked about things on what our coffin is throwing it against the [indiscernible]. So how do you look at potential acquisitions to meet your minimum return thresholds when you got a lot of other midstream parties out there that seem to beating very aggressively for assets and have overlapping footprints that might give them a competitive advantage?
Sam Pollock: So again I'll start with that one, I wasn’t sure who will direct to that. Robert I think you’re right, the focus currently for is the opportunities within the NGPL and within our GAAP storage platform because if you pipeline opportunities that we can take advantage of them because of certain headers that we own. But I think within NGPL because of its attractive footprints in the past year we've seen a number of opportunities to sign long term contracts particularly with the connections that we now have and moving gaps south towards the gulf coast towards the new manufacturing in LNG projects. I think we’ll continue to try and take advantage of that and obviously we are still in the process of evaluating our long term position in that investment but suffice to say the business has performed considerably better with these opportunities that we see in over the last six to nine months. I say the - on the M&A opportunities we really what we’ll be focusing on are either cargos or situations where companies have gone themselves into financial difficulties because they have - over extent themselves and just don’t have the capital to maintain distributions and they just penetrate at the valuation. I don’t know if that’s total answer to your question but hopefully I got to the point.
Robert Kwan: Yes. Just on the last part though is, there are distressed situations I am just wondering how you compete against some of the better capitalized companies that may have overlapping footprints or maybe your answer tying back to the first where any acquisitions might be aware to bolting it on to some extent with either the storage assets you have, or something angled around NGPL?
Sam Pollock: I think it trends like any other transaction that we look at. There is always unique dynamics in every industry. There is often parties that don’t want to do transactions with another even though they might have considerable amount of synergies, often to be in the right place at the right time with the solution that works with an existing management team. So, I agree, to the extent there, we are not leveraging either our gas storage platform or NGPL and it's not based so much on synergies but there is always lots of other ways to execute transactions where they will necessarily having to compete on that basis.
Robert Kwan: That's great. Thanks Sam.
Operator: The next question is from Cherilyn Radbourne of TD Securities. Please go ahead.
Cherilyn Radbourne: Thanks very much and good morning. I thought I’d just start with one on Invepar. Just wondering if you can update us on the timing of that creditors meeting and how soon thereafter you would expect to launch a bid for the Invepar stake?
Sam Pollock: Hi, Cherilyn. So the - unfortunately I can’t give you an exact date on the creditors meetings because its moved a few times in the last week or so. But my - I believe it's some time like November 10, and I could be wrong by just by week, but it's in mid month and obviously it could move based after the decisions of the creditors but I do know that there is a lot of motivation to get things moving on that front. I think your second question was just on the timing thereafter, is that right?
Cherilyn Radbourne: That’s right.
Sam Pollock: Yes. My understanding is that the creditors in the company would like to run the various approval processes and the stocking bid process fairly quickly and people have talked about timings in and around the first and second quarter of next year to have been tracked up. My experience with all things Brazil is that, take that best wishes and add on another couple of quarters. So, I suspect if I think that – we’re probably looking in the later half of next year.
Cherilyn Radbourne: Okay. Well that's helpful.
Sam Pollock: But that one is starting earlier but things just don’t happen quickly.
Cherilyn Radbourne: Understood. Then I wanted to ask a question on the U.K. regulated distribution business which just continues to impress. So I just wonder if you could give us a feel for how much of that is driven by U.K. housing starts versus market share gains and penetration of new products like fiber to the home?
Sam Pollock: I will start with that and again Bahir can jump in if he thinks I missed anything. But it's really a factor of probably lot of things, I wouldn't say it today that we’re adding materially to market share. I think it’s a fairly static market and we've got a number of good competitors, but we are really benefiting is, I don't believe all the competitors have the multiple products that we do and so we are able to -- when we do win some of these larger projects, we are selling not only gas and electricity but fiber to the home and water and other services. And so, I think that that makes our business that much more profitable because of these multiple products. And we have seen and you've probably read in the FT that there has been a big push to drive the new home deliveries in the U.K. and I guess we are seeing some of that come through in our business.
Cherilyn Radbourne: Okay. And then last one from me is just on the currency hedging policy. Just curious whether there are any currencies at this point that you don't want to lock in at current rate?
Bahir Manios: Hi Cherilyn, it's Bahir. No, I think our strategy is still pretty consistent with prior periods. From the currencies we're exposed to today, the Australian dollar, Euro pounds, and Canadian dollar continued to be economically viable to hedge versus the lifetime currencies and also in the future would be probably the Indian rupee would fall into that camp which would be currencies which have to take more long term view on and -- so yeah, no material changes in that regard.
Cherilyn Radbourne: Okay. Thank you. That's all from me.
Bahir Manios: Thank you.
Operator: The next question is from Bert Powell of BMO Capital Markets. Please go ahead.
Bert Powell: Thanks. On Gammon did you guys underwrite that was higher than average return expectation give that that's the kind of a little bit of a beach head that you're establishing there. And also, I think I have this right, I'm not sure, is that there was a basket of assets that Brookfield bought and you guys are taking the toll roads and there is some sort of earn out associated with that, I'm just wondering if you can clarify that, if it needs clarification? Thanks.
Sam Pollock: Hi, Bert. Yes, the -- so, I think there are couple of things there, the first thing on the returns, we did underwrite higher return close to 20% after tax. Second, there were -- 95% of value related to the toll roads, there are some parts of the land and early stage renewal power projects that probably we will just sell off. But they're not material to the overall business.
Bert Powell: Okay.
Sam Pollock: And then lastly, there are some earn outs based off of things that the Company believes it's entitled to basically - I'm not sure there is a equivalent or rebalances but effectively things that the Government wasn't able to deliver on time, that cost the Company money that they think they're entitled to rebate and to extent that comes true then it'll be faster.
Bert Powell: Okay. Thanks for that, Sam. And then a question, just in terms of -- I know airports was something that you had put on the list of where you'd like to be. And I'm just wondering given -- obviously I think Invepar was probably the platform if you will that would establish that. Just wondering, given the timing around the Invepar, would you lose sooner on that if there was an opportunity or do you really kind of want to have that tucked into the BIP family before you'd then start to look more seriously at building that out.
Sam Pollock: Bert, we are always looking at opportunities and I'd say today that there are a couple of other airport situations mostly in South America to stage that that we're tracking and then that could fit into the timeframe in and around when we would have the Invepar also locked up. I think the issue with airports is you need to either get into the business with the partners or in some sort of multifaceted way, because just bidding on the airport in a broad option is never going to be a value transaction, and so we just need to really focus on our entry point.
Bert Powell: Okay. And then just lastly on NGPL the developments that are taking place there seem positive. Has any of that changed how you're thinking about BIP continuing to be involved in that asset at all?
Sam Pollock: Bert, there is whole host of factors I think we need to consider whether or not we're sellers or buyers, I guess. Obviously the long term prospects and the values are big components, but just as important are, who are partners are and what are the Governments arrangements. So, there's a number of factors I'd say at play that we would need to be comfortable with to move forward on, but I guess short answer is if we kicked off the boxes in the right way then we would like to continue, and if we don't then I guess we would exit.
Bert Powell: Okay. Fair enough. Right, thanks Sam, thanks Bahir.
Bahir Manios: Thanks.
Operator: The next question comes from Frederic Bastien of Raymond James. Please go ahead.
Frederic Bastien: Good morning, you're enjoying very strong organic growth this year but I'm curious as to how much visibility you currently have into 2016, do you expect it to stay in a double digit rates or is a high single digit rate more reasonable to expect?
Bahir Manios: Morning, Frederic, it's Bahir. I think what we're -- just with the -- in local currency terms we would expect it to be consistent with this year which would be in the low double digit terms, but what we're doing is guiding folks for 2016, at least to be at the high end of our long term target which is around 7% to 8%, 9%, in U.S. dollar terms, just given foreign exchange fluctuations. But the businesses are performing really well in the local currencies, and the outlook there just continues to be positive.
Frederic Bastien: Okay. That's helpful. Now, you've been relatively quiet on the utilities investment front, but you now fly transmission in the U.S. and South America as growth priority. How do you plan to go about this? Is this going to come from greenfield developments, M&A or a bit of both?
Sam Pollock: Hi, Fred. I guess what we are lagging is that most of what we are going to do on the transmission front will be development related, it may not necessarily be early stage development. I would describe it more as late stage development, but we are participating, in some cases in RFPs in the states, or projects or other types of projects up in the North East, but we are also looking at a number of late stage transmission projects in South America and mainly in Brazil with a number of construction companies.
Frederic Bastien: Okay, so they would sort of being contributing to FFO within a reasonable time period, you are not talking about four, five, years, right?
Sam Pollock: Yeah, no, I think it to be sooner than that. Also there are some opportunities where some of these development situations may lead to an acquisition of some existing ground to that as well. So, they're probably a little bit more encompassed in terms of what I am describing.
Frederic Bastien: Okay, great. My last one relates to the bond issue you just did, would you consider using some or all of the proceeds you just raised to lower the number of BIP units you would issue Asciano shareholders or those proceeds are actually already spoken for?
Sam Pollock: Frederic, I think we have announced the financing plans that we're following. And as I mentioned in my remarks, I can't really speculate on anything related to Asciano at this time.
Frederic Bastien: All right, thank you.
Operator: The next question comes from Brendan Maiorana of Wells Fargo. Please go ahead.
Brendan Maiorana: Thanks, good morning. On transmission Sam, in the U.S., maybe my recollection is off but I thought that you had been little bit more cautious on U.S. transmission investment because the return threshold looked a little bit low and maybe the regulatory framework didn’t give you as much upside as you get it, or some of the other transmission asset that you guys have looked at in the past.
Sam Pollock: Brendan, you’re right when it comes to acquiring existing franchise or utilities in the U.S. I think we would find those returns unattractive but as you recall with what the project intact is where, we were selected as a utility developer and where we affectively invest at one time rate base even with - and allowed equity return in the high 9s with a little [hot-cold] [ph] leverage and some other structuring, we were able to get that into a nice mid teen plus equity return. And so what we are really talking is following the same game plan that we executed there, just in different part of the U.S.
Brendan Maiorana: Okay, fair enough. I think you mentioned 300 million or so of net proceeds. Can you give a sense of exit multiples on that and that 300 million I presume is equity. Do you have the amount that would be on the asset base at DIP share?
Sam Pollock: Good question. It relates to two businesses and I’d say the enterprise value is probably somewhere between $600 million to $700 million. The leverage in one of the business is being more utility likely is higher. So that’s the reason why - it’s not quite 50-50. And as far as the multiples, it’s probably a low premature, I can’t recall on top of my head what the two multiples where we can’t look at them differently in relation to multiples but one was probably in 10 to 11 range and the other one would have been probably somewhere higher.
Brendan Maiorana: Okay, fair enough. And then last one might be for Bahir. Rigging through the supplemental, the later seems like overall operation are going pretty well across most platforms. Do you think there is anywhere, where there is some low hanging fruits in terms of existing operation, existing assets that are earning assets that could see meaningfully higher EBITDA or do you feel like your existing operations are kind of going as they should be and the growth happens from CapEx projects and acquisition and the like, and then got your organic inflationary type growth on the existing operations.
Bahir Manios: Hi Brendan, I’d say it’s probably more of the latter, it’s business is that should enjoy, lots of growth once the various sort of CapEx projects or in the case of [indiscernible] more of an automation that’s going on there, more of that as that billed out is done and so does comes online you should see very meaningful growth in a lot of these asset, these would be more transport, heavy assets. And then in the utility segment, it would be more just deploying the capital backlog that we have which is around $540 million and getting that online in commission in addition to just picking up regular inflation indexation. So I wouldn’t say there is a lot of low hanging fruits out there. It’s just more executing on the various organic plans that we have in picking up the regular GDP growth in inflation that we are exposed to in the various businesses.
Brendan Maiorana: Okay great, Thank you.
Operator: There are no further questions at this time. I’ll hand the call back over to Mr. Pollock for closing comments.
Sam Pollock: Okay. Thank you, Operator. And I just like to thank everyone for joining our call today. We look forward to providing a further update on all our initiatives next quarter. Have a nice day.
Operator: This concludes today's conference call. You may now disconnect your lines. Thank you for participating. And have a pleasant day.